Operator: Good afternoon. Thank you for standing by, and welcome to the Westlake Chemical Partners First Quarter 2022 Earnings Conference Call. During the presentation, all participants will be in a listen-only mode. After the speakers' remarks, you will be invited to participate in a question-and-answer session. As a reminder, this conference is being recorded today, May 3, 2022.  I would now like to turn the call over to today's host, Jeff Holy, Westlake Chemical Partners Vice President and Treasurer. Sir, you may begin.
Jeff Holy: Thank you. Good afternoon, everyone, and welcome to the Westlake Chemical Partners First Quarter 2022 Conference Call. I'm joined today by Albert Chao, our President and CEO; Steve Bender, our Executive Vice President and CFO; and other members of our management team. During this call, we refer to ourselves as Westlake Partners or the Partnership. References to Westlake refer to a parent company, Westlake Corporation, and references to OpCo refer to Westlake Chemical OpCo LP, a subsidiary of Westlake and the Partnership which owns certain olefins assets. Additionally, when we refer to distributable cash flow, we are referring to Westlake Chemical Partners' MLP distributable cash flow. Definitions of these terms are available on the Partnership's website. Today, management is going to discuss certain topics that will contain forward-looking information that is based on management's beliefs as well as assumptions made by and information currently available to management. These forward-looking statements suggest predictions or expectations and thus are subject to risks or uncertainties. We encourage you to learn more about the factors that could lead our actual results to differ by reviewing the cautionary statements in our regulatory filings, which are also available on our Investor Relations website. This morning, Westlake Partners issued a press release with details of our first quarter 2022 financial and operating results. This document is available in the Press Release section of our web page at wlkpartners.com. A replay of today's call will be available beginning 2 hours after the conclusion of this call. The replay may be accessed by dialing the following numbers: Domestic callers should dial (855) 859-2056. International callers may access the replay at (404) 537-3406. The access code is 6739002. Please note that information reported on this call speaks only as of today, May 3, 2022, and therefore, you are advised that time-sensitive information may no longer be accurate as of the time of any replay. I would finally advise you that this conference call is being broadcast live through an Internet webcast system that can be accessed on our web page at wlkpartners.com.  Now I would like to turn the call over to Albert Chao. Albert?
Albert Chao : Thank you, Jeff. Good afternoon, everyone, and thank you for joining us to discuss our first quarter 2022 results. In this morning's press release, reported Westlake Partners first quarter 2022 net income of $16 million or $0.46 per unit. Strong production after Petro 2 turnaround paired with healthy third-party sales margins during the quarter drove consolidated net income, including OpCos of $81 million. Westlake Partners consistently demonstrated the stability generated from our fixed margin ethylene sales agreement for 95% of annual production -- plant production and delivered stable fee-based cash flow through its insulated qualities, minimizing market volatility and other production risks. This high degree of cash flow stability and the credibility of our business supported a long history of reliable distributions. This quarter's distribution is the 31st consecutive quarterly distribution since our IPO. I would now like to turn our call over to Steve to provide more detail on the financial and operating results for the quarter. Steve?
Steve Bender: Thank you, Albert, and good afternoon, everyone. In this morning's press release, we reported Westlake Partners first quarter 2022 net income of $66 million or $0.46 per unit. Consolidated net income, including OpCo's earnings was $81 million on consolidated net sales of $291 million. The Partnership had distributable cash flow for the quarter of $19 million or $0.55 per unit. First quarter 2022 net income for Westlake Partners of $16 million increased by $1 million compared to first quarter 2021 Partnership net income of $15 million. Partnership benefited from strong production following the turnaround of Petro 2 that was completed in the fourth quarter of 2021 and solid third-party sales margins early in the first quarter. Distributable cash flow of $19 million for the first quarter of 2022 was an increase of $3 million compared to first quarter of 2021 distributable cash flow of $16 million driven by solid production and that lower turnaround reserve. Turning our attention to the balance sheet and cash flows. At the end of the first quarter, we had consolidated cash balance and cash investments with Westlake through our investment management agreement totaling $130 million. Consolidated debt at the end of the quarter was $400 million, of which $377 million was at the Partnership and the remaining $23 million was at OpCo. In the first quarter, OpCo spent $20 million on capital expenditures. We maintained our strong leverage metrics with consolidated leverage ratio below 1x. On May 2, 2022, we announced a quarterly distribution of $0.4714 per unit with respect to the first quarter of 2022. Since our IPO in 2014, the Partnership has made 31 consecutive quarterly distributions to our unitholders. We have grown distributions 71% since the Partnership's original minimum quarterly distribution of $0.275 per unit. For the 12 months ending March 31, 2022, distributable cash flow provided coverage of 1.1x the declared distributions. Partnership's first quarter distribution will be paid on May 26, 2022, to unitholders of record of May 12, 2022. Partnership's predictable fee-based cash flow provides a significant benefit in today's economic environment and is differentiated by the consistency of our earnings and cash flows. Therefore, we are able to sustain our current distribution without accessing the capital markets while maintaining our long-term targeted 1.1x distribution coverage. For modeling purposes, we have no planned turnarounds in 2022. Our next turnaround is at our Petro 1 facility in Lake Charles, Louisiana, which is currently planned for 2023 and we will provide more details on the turnaround once we complete our planning. Now, I'll turn the call back over to Albert to make some closing comments. Albert?
Albert Chao : Thank you, Steve. We are pleased with the Partnership's financial and operational performance through the first quarter and believe this should be a solid year, both operationally and financially. We remain optimistic about the continuing demand for ethylene, driven by robust downstream derivatives needs by our parent, Westlake and a strong end-use market demand in consumer products and packaging. Our ethylene sales agreement, which provides a predictable fee-based cash flow structure from our take-or-pay contract with Westlake or 95% of OpCo's production, we'll continue to deliver the stable and predictable cash flows driven by continued elevated demand from healthy market fundamentals, we feel confident our third-party sales should continue to deliver positive margins in 2022. We maintained a strong balance sheet with conservative financial and leverage metrics.  As we continue to navigate market conditions, we'll evaluate opportunities via our 4 levers of growth in the future, including: increases of our ownership interest of OpCo; acquisitions of other qualified income streams; organic growth opportunities, such as expansions of our current ethylene facilities; and negotiation of a higher fixed margin in our ethylene sales agreement with Westlake. We remain focused on our ability to continue to provide long-term value to our unitholders. As always, we will continue to operate safely along with being good stewards of the environment where we work and live.  Thank you very much for listening to our first quarter earnings call. Now, I'll turn the call back over to Jeff.
Jeff Holy: Thank you, Albert. Before we begin taking questions, I would like to remind you that a replay of this teleconference will be available 2 hours after the call was ended. We will provide that number again at the end of the call. Chris, we will now take questions. 
Operator:  And we have a question from Matthew Blair of Tudor, Pickering, Holt.
Matthew Blair : I was just -- I was hoping you could talk about, as you look at potential growth and I guess, the potential for asset drops just given you've held the distribution consistent for a couple of years now, what markers are you looking at to restart that distribution growth? And do you feel that it's more of a question of valuation for the current MLP? Or is it more of a question of investor appetite for additional MLP equity?
Steve Bender : Yes. So Matthew, it's Steve. And so I would say that we've seen some capital flow into the markets in 2021. And as we see more capital flow into the markets in this year and in the future, I think that will provide the ability for the Partnership to undertake some of these accretive opportunities that we see to use four levers of growth that Albert made reference to. And so certainly, where the units are trading, I think is reflective of the stability. We think that the valuation certainly is not fully reflective of the value that we can provide to unitholders. But certainly, to your question of the ability to grow the distribution, we stand ready to do that so long as there is adequate capital flow into this space to be able to do that in accretive manner. 
Operator:  At this time, the Q&A session has now ended. I will now turn the call back to Jeff Holy.
Jeff Holy: Thank you again for participating in today's call. We hope you'll join us for our next conference call to discuss our second quarter 2022 results.
Operator: Thank you for participating in today's Westlake Chemical Partners First Quarter Earnings Conference Call. As a reminder, this call will be available for replay beginning 2 hours after the call has ended and may be accessed until 11:59 p.m. Eastern Time on Tuesday, May 10, 2022. A replay can be accessed by calling the following numbers: Domestic holders should dial (855) 859-2056. International callers may access the replay at (404) 537-3406. The access code for the replay is 6739002. This will conclude today's call. Good bye and have a pleasant day.